Operator: Good day, everyone, and welcome to the First Internet Bancorp Earnings Conference Call for the Third Quarter of 2025. [Operator Instructions] And please note that today's event is being recorded. I would now like to turn the conference over to Ben Brodkowitz from Financial Profiles, Inc. Ben, please go ahead.
Ben Brodkowitz: Thank you, operator. Hello, everyone, and thank you for joining us to discuss First Internet Bancorp's Third Quarter 2025 Financial Results. The company issued its earnings press release yesterday afternoon, and it is available on the company's website at www.firstinternetbancorp.com. In addition, the company has included a slide presentation that you can refer to during the call. You can also access these slides on the website. Joining us from the management team today are Chairman and CEO, David Becker; President and COO, Nicole Lorch; and Executive Vice President and CFO, Ken Lovik. David and Nicole will provide an overview, and Ken will discuss the financial results. Then we'll open up the call for your questions. Before we begin, I'd like to remind you that this conference call contains forward-looking statements with respect to the future performance and financial condition of First Internet Bancorp that involve risks and uncertainties. Various factors could cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in the company's SEC filings, which are available on the company's website. The company disclaims any obligation to update any forward-looking statements made during the call. Additionally, management may refer to non-GAAP measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today as well as the reconciliation of the GAAP to non-GAAP measures. At this time, I'd like to turn the call over to David.
David Becker: Thank you, Ben. Good afternoon, and thank you for joining us on the call today. I want to start by highlighting the continued strength of our core business fundamentals and the key strategic execution. Our revenue engine remains robust. We delivered our eighth consecutive quarter of net interest income growth with net interest margin expansion continuing as planned. Additionally, our SBA and BaaS businesses contributed meaningful growth to noninterest income. In the third quarter, we maintained our top line growth momentum as adjusted total revenues reached $43.5 million, an increase of 30% over the second quarter. Revenue growth was driven by a significant increase in the gain on sale of SBA guaranteed loan balances. Net interest income was also up, marking the eighth consecutive quarter of growth. Net interest income increased over 8% compared to the linked quarter and was up 40% compared to the third quarter of 2024, driven by higher earning asset yields and lower deposit costs. Accordingly, net interest margin on a fully tax equivalent basis increased 8 basis points from the second quarter to 2.12%. Further, our prudent operating expense management and strong top line growth drove significant operating leverage for the quarter. During the quarter, we executed certain strategic actions that had a near-term negative impact on earnings but strengthened our financial position and set the stage for our future growth. First, we successfully completed the sale of $837 million of STL loans. This had several key benefits that advance our strategic priorities. The transaction enhances our interest rate risk profile, strengthens our capital ratios and expedites the optimization of our interest-earning asset base. These improvements will significantly enhance net interest margin and accelerate our progress towards achieving our near-term goal of a 1% return on average assets. During the quarter, we also took decisive and aggressive action to address credit issues in the small business lending and franchise finance portfolios. We recognized a $34.8 million provision for credit losses, which included $21 million of net charge-offs, additional specific reserves and a significant increase to the allowance for credit losses related to the small business lending. These actions reflect our intention to expedite the improvement of our portfolio's credit quality. As a result of these actions, total delinquencies were 35 basis points, as of September 30th, down from 62 basis points in the second quarter and 77 basis points in the first quarter. From the standpoint that delinquencies are the best indicator of potential future credit losses, this puts the health of our portfolio right in line with our peers. Importantly, our credit issues are isolated to small business lending and franchise finance portfolios. Credit quality across the remainder of our lending vertical is sterling, reflecting the strength and stability of our broader portfolio. Turning to lending activity for a minute. Our commercial lending teams continued to deliver a strong level of originations throughout the quarter. Excluding the impact of the loan sale, commercial loan balances were up $115 million or 3.2% and total loan balances were up $105 million or 2.4%. Heading into the fourth quarter, our loan pipelines remain strong, as our teams continue to see excellent opportunities, especially in our commercial real estate, single-tenant lease financing and commercial and industrial lines of business. Looking ahead, the fundamentals that drive our business, a differentiated model, experienced and dedicated teams, diversified revenue streams, solid capital position and disciplined risk management position us well to continue delivering sustainable growth and enhanced long-term shareholder value. Now I'll turn it over to Nicole to talk about small business lending and BaaS.
Nicole Lorch: Thank you, David. Gain on sale of SBA loans rebounded strongly in the third quarter following our process improvements, generating $10.6 million in gain on sale revenue. We delivered another solid quarter for new loan originations and ended the quarter with $104 million in held-for-sale loans that we look to sell into the secondary market when the federal government reopens and loan sales resume. Anticipating the government shutdown, we proactively secured SBA authorizations for loans in our pipeline prior to September 30th, enabling us to continue to meet our borrowers' desired transaction time lines without disruption. Our pipeline remains robust at $260 million, positioning us well for gain on sale in future periods and for interest income on retained balances. We continue our drive for process improvement throughout the SBA initiative. This quarter, we made strategic investments in technology platforms, including AI technology to our document collection and verification steps to create a streamlined experience for our borrowers, eliminate manual tasks for our employees and to provide our credit teams better insights into new loan opportunities. We also introduced loan level predictive analytics to bolster our portfolio management processes and problem loan identification practices. Additionally, the learnings from our analytics engine enabled us to further refine our credit standards for better credit outcomes in future periods. Our commitment to innovation and excellence extends to the continued success of our fintech partnerships, which is commonly referred to as Banking as a Service or Simply BaaS. Through strong relationships forged with quality programs, sustained growth in deposit balances has provided us robust balance sheet liquidity as well as tremendous balance sheet flexibility. In the third quarter, we strategically moved over $700 million of fintech deposits off balance sheet to optimize our balance sheet size following the loan sale. We have continued to move additional deposits off the balance sheet here in the fourth quarter, but retain the flexibility to bring them back to fund growth opportunities or to meet liquidity needs as market conditions warrant. Total revenue from our fintech initiatives, consisting primarily of interest income and program and transaction fees was up 14% compared to the second quarter and up 130% from the third quarter of 2024. These results highlight the strong performance across our diverse business lines. I will now turn it over to Ken for additional insight into our third quarter performance and our fourth quarter outlook.
Kenneth Lovik: Great. Thank you, Nicole. As a result of the strategic actions taken during the quarter, we reported a net loss of $41.6 million or $0.0476 per diluted share. Excluding the pretax loss on the loan sale of $37.8 million, adjusted net loss for the quarter was $12.5 million or $1.43 per diluted share. However, with the strong revenue growth and corresponding positive operating leverage mentioned earlier, adjusted pretax pre-provision income totaled $18.1 million, an increase of over 50% from the second quarter and almost 65% from the third quarter of 2024. Now turning to the primary drivers of net interest income and net interest expense during the quarter. Net interest income for the quarter -- for the third quarter was $30.4 million or $31.5 million on a fully taxable equivalent basis, both up about 8% from the second quarter. Net interest margin improved to 2.04% or 2.12% on a fully taxable equivalent basis, both up 8 basis points. The yield on average interest-earning assets rose to 5.68% from 5.65%, driven primarily by an 11 basis point increase in loan yields, as rates on new originations were 7.5% during the quarter. Looking forward, while the Federal Reserve lowered the Fed funds rate in September, we expect to see continued expansion in the portfolio yield, as new origination yields should remain above the current portfolio yield of 6.18%. Additionally, the sale of lower coupon single-tenant lease financing loans is expected to have a meaningful impact on the portfolio yield in future periods. Turning to our funding costs. The cost of interest-bearing liabilities declined to 3.90% from 3.96%, driven mainly by a 5 basis point decrease in interest-bearing deposit costs and a 7 basis point decrease in the cost of other borrowings, as we saw the benefit of paying down a significant amount of higher cost short-term Federal Home Loan Bank advances near the end of the second quarter. Deposit costs -- deposit costs declined as we continue to benefit from CD repricing and reduced broker deposit balances. Furthermore, we began moving some of our higher-cost fintech deposits off balance sheet in the quarter, which had a positive impact on deposit costs and this activity ramped up near quarter end following the loan sale. As noted on Slide 10 of the presentation, we continue to see favorable trends in CD pricing across the curve. As higher cost CDs mature, we expect them to be replaced by lower-cost fintech deposits or new CDs at more attractive rates or simply paid down with excess liquidity to assist in shrinking the balance sheet further. This shift in downward pricing, complemented by our ability to move deposits off balance sheet positions us extremely well to capitalize on further declines in deposit costs in the fourth quarter and into 2026. And when combined with higher loan origination yields, these dynamics support sustained growth in both net interest income and net interest margin even in the absence of further rate cuts from the Federal Reserve. At quarter end, $1.3 billion or 27% of our deposits were indexed to the Fed funds rate. So should we see additional interest rate cuts, expansion of both net interest income and net interest margin would be further enhanced. Now I'm going to take a few minutes to speak to asset quality, as there were a number of moving parts during the quarter, some of which are summarized on Slide 13 in the presentation. As David mentioned in his comments, we recognized a provision for credit losses of $34.8 million in the third quarter, which consisted primarily of $21 million of net charge-offs as well as additional specific reserves and a significant increase to the CECL reserve related to small business lending. To provide a little bit more detail on the net interest charge-offs in the quarter, $15.2 million were related to the small business lending portfolio as we took an aggressive approach to cleaning up problem loans that evolved over the quarter. Following these charge-offs, delinquencies in the small business lending portfolio declined over 50% compared to the prior quarter. Additionally, $5.3 million of net charge-offs were related to the franchise finance portfolio. These charge-offs had $3.5 million of existing reserves in place that were removed. Nonperforming loans totaled $53.3 million at the end of the third quarter, up $9.7 million from the linked quarter. The increase in nonperforming loans was primarily driven by moving 9 franchise finance loans with book balances of $14.2 million to nonaccrual with related specific reserves of $5.8 million. Delinquencies in our franchise finance portfolio decreased almost 80% from the second quarter and the pace of new delinquencies has slowed meaningfully, signaling improved borrower performance. A portion of the increase in nonperforming loans, about $1.8 million related to small business lending and represented the remaining balance based on estimated collateral values associated with the loans. At quarter end, the ratio of nonperforming loans to total loans was 1.47%, up from 1% in the linked quarter. The increase was driven not only by the increase in nonperforming loans, but also the decline in loan balances following the loan sale. The allowance for credit losses increased to $59.9 million in the third quarter, up $13.4 million or almost 30% from the second quarter. The increase was primarily driven by a significant increase in the ACL, as a result of updated inputs to the CECL model given recent industry trends in SBA loans, which show SBA loan default rates across the industry are approximately 2.3x higher in 2025 than in 2022. As a result, we more than doubled the small business lending ACL. Following this activity, the ACL now represents 1.65% of total loans, up from 1.07% in the second quarter. If you exclude the public finance portfolio, the ACL to total loans increases to 1.89%. As shown in one of the slides -- in one of the graphs on Slide 13, to emphasize the point David made in his comments, following the credit actions taken during the quarter, total delinquencies 30 days or more past due, excluding nonperforming loans, declined to 35 basis points at quarter end and are at their lowest point in a year. I will briefly touch on our capital position prior to moving on to our outlook for the fourth quarter. As announced in our press release and associated 8-K in September, we closed on the sale of $837 million of single-tenant lease financing loans with a net loss of $37.8 million at the end of the quarter. While the loss from the loan sale reduced shareholders' equity and regulatory capital, the reduction in risk-weighted assets was even more pronounced, leading to growth in regulatory capital ratios from the linked quarter. Related to the Tier 1 leverage ratio, we expect this ratio to increase significantly in the fourth quarter of 2025 as the average assets calculation resets lower with a full quarter effect of a smaller balance sheet. Furthermore, we were able to mitigate the impact of the loan sale on the tangible equity to tangible assets ratio by moving a significant portion of fintech deposits off balance sheet during the quarter. Now turning to the remainder of 2025, I would like to provide some commentary on our outlook for the fourth quarter of 2025. Note that these estimates assume a flat rate environment, consistent with prior quarters, we are not going to attempt to predict the timing and magnitude of Fed rate cuts. We remain excited about our strategies to drive net interest income and net interest margin growth, as loan yields continue to increase and deposit costs decline. During the fourth quarter, we expect loan balances to increase at an unannualized rate in the range of 4% to 6%. While this may seem like a high number, we expect origination levels to remain consistent with prior quarters, while the starting point is lower following the sale of the single-tenant lease financing loans. In addition to the continued benefit of higher loan yields and lower funding costs, we also expect a lift in the net interest margin resulting from the loan sale as the loan portfolio yield is further enhanced. For the fourth quarter, we expect the net interest margin on a fully taxable equivalent basis to increase to the range of 2.4% to 2.5%. In dollar terms, we expect fully taxable equivalent net interest income to come in the range of $32.75 million to $33.5 million for the quarter. With respect to noninterest income, we have about $104 million in loans currently held for sale plus additional loans that have closed thus far in the quarter. However, we do expect loan sale volume to be down from the third quarter. As a result, we expect noninterest income to come in the range of $10.5 million to $11.5 million for the quarter. The one caveat to this assumption is how long the United States government shutdown lasts. As a government program, sales of SBA loans into the secondary market have been halted during the shutdown. Assuming the shutdown ends sometime soon, we should be able to complete the loan sales during the quarter. However, if the shutdown continues for an extended amount of time, then the ability to execute the sale of all of these loans would be at risk. On the expense side, we continue to manage costs well and expect them to come in the range of $26 million to $27 million for the quarter. Moving to an update for our expectations for 2026. With regard to fully taxable equivalent net interest income and the provision for credit losses, we feel comfortable with where the analyst estimates currently are at. Moving to our outlook for noninterest income to Nicole's comments regarding heightened credit standards related to SBA lending, we expect origination volumes to decline from 2025 and have modeled noninterest income to be in the range of $41.5 million to $44.5 million. The lower SBA origination volume will have a corresponding impact on our forecast of noninterest expense for the year, which we now estimate to be in the range of $106 million to $109 million. With that, I will turn the call back to the operator so we can answer your questions.
Operator: [Operator Instructions] Your first question comes from the line of Tim Switzer from KBW.
Timothy Switzer: So I guess, the first one I had is on the credit outlook. And I understand it's tough to maybe put some numbers behind it or like a time line. But is there any way for us to get a sense of -- I'm sure this is probably peak charge-offs, but when do we see peak delinquencies, peak nonperformers and have confidence that those start to move down? And what is like embedded within the reserve in terms of credit losses? Like what's the credit content of the portfolio as you guys see it today?
David Becker: I'll handle the delinquency side. As we discussed, those numbers keep coming down. Like at the current time on the franchise lending, we only have 4 delinquent accounts. It's at 35 basis points compared to 2 quarters ago when it was 77 basis points. So the leading indicators in our mind, are going all in the right direction and getting more and more stable. Obviously, there's a lot of economic activity going on in D.C. and around the world that can have impact on companies. So as you see today, it's a tough one. But as we're looking at it and working -- and it's right now impacting just 2 of the portfolios that we have, SBA and franchise, but it's all headed in the right direction currently from where we're at. I'll let Ken speak to how we've broken out. There's specific reserves, there's reserve reserves. There's some stuff that's in nonperforming that we're waiting on resolution of sale of assets, et cetera, could get some recovery back out of it. But he can give you a little more detail on how that lays out.
Kenneth Lovik: Yes. Maybe we'll talk about nonperforming assets first, right? So the biggest -- the increase in nonperforming loans this quarter was primarily driven by certain franchise finance loans that we took action on during the quarter. These were either delinquent loans or loans with identified issues that we moved to nonaccrual and we put specific reserves on. I'll go to David's comment about delinquencies here and with regard to franchise finance, the delinquency number is now down significantly, right? I think I believe we had 4 loans that were delinquent at quarter end. And I guess, as a leading indicator there, I think we feel like in terms of the franchise portfolio, we've kind of seen the worst of the worst. Yes, there -- we do have existing nonperforming loans in there where we might have to adjust an existing specific reserve or there may be a loan that pops up. But I think we feel like we've kind of been through what I'd call maybe the last big bucket of problem loans there. And the credit outlook there should be -- should look good going forward. And quite frankly, those are -- if you break down our nonperforming loan bucket, the franchise loans are by far the biggest -- the largest single amount in there. So I think in terms of NPAs and NPA increases going forward, there might be some more additions with regards to SBA and the residual balances of what we don't charge off. But I think the large increases going -- I think we've kind of minimized the significant increases going forward. And I think we remain optimistic that we're getting close to being peak NPA level. And then to kind of address your question on the reserves and stuff. As we mentioned in the commentary, we made some significant adjustments to the ACL related to SBA. We essentially doubled it. We increased that number to about $27.5 million. And I think we kind of went to the high end on some of the assumptions in our CECL model there. And I think, obviously, a CECL model is a life of loan loss expectation, which is what our model is forecasting. So I think that's kind of a number that we feel comfortable with as we sit here today.
Timothy Switzer: So does your reserve kind of embed the outlook you just talked about in terms of delinquencies remaining low, not too many new ones and NPAs moving down from here?
Kenneth Lovik: Well, it does to a certain extent. I mean the CECL model is -- there are delinquencies do impact the calculation of the reserve. Most of our delinquencies are 60 days or less. You certainly get penalized when delinquencies are higher than that. But yes, the CECL model does take into account the impact of delinquencies within the math of the CECL model. Now nonperformers, those are not in the -- I mean, those are kind of taken out of the release -- those are taken out of the model and those have specific reserves. Those are called individually evaluated loans. So when something does move to nonperformer, we will do an individual analysis and put a specific reserve on that. So that's kind of the -- obviously, the biggest piece of the reserve of the ACL is the CECL reserve and then a secondary piece are the specific reserves, which are individually evaluated at the loan level. I say clear is mud, right? The bottom line play for both, I think SBA, and we're really, really comfortable on the franchise loans is that we got our arms around the problem. We moved an awful lot of stuff pulled things forward that we could justify pulling forward. Within the SBA world, there's a lot of guidelines, as to when we can put loans to nonperforming. We have to buy them back out of the secondary market. We have to jump through some hoops to get it. But we're as clean as clean can be today. And I think going forward, as we've spoken to in the past, we have been tightening down credit standards over time. We've got data through a group called [ Lumos ] of all the statistical stuff going on in the SBA world and vintages for '21, '22 seem to have peaked, which is also the vintages of loan originations, where most of our problem credits reside. We've tightened up credit significantly over the last 2 years and did another tightening up here within the last 60 days. So I think it's as good as we can get it right now. As I say, there are things happening around the world that could severely impact us. But if we see kind of consistent and status quo on tariffs, et cetera, we think that we're kind of the worst is behind us on both sides.
Timothy Switzer: That's very helpful. I appreciate all the color there. And if I could get one more on the government shutdown. There's kind of 2 impacts here, right? If the government shutdown, you can't sell your loans, but also at some point, I mean, the SBA isn't approving new SBA numbers either. So is there a time line or like a deadline in terms of when this kind of slows down your ability to originate new loans? And let's just say we're shut down for another week or 2, how quickly historically is the SBA able to kind of catch up on that backlog of new applications for approval?
Nicole Lorch: That's an astute question, Tim. We are -- we anticipated the shutdown. So on the loans that were through credit approval in our pipeline, we went ahead and got authorization prior to September 30th. So we went into the shutdown with about $94 million in pipeline loans that we have authorization on. So month-to-date, we have funded $18 million of new originations. We can continue to close and fund loans, where we have that authorization. So we have another $73 million, $75 million in loan closing right now. And as they work through that pipeline, we will be able to close them. So foreseeably, we can meet our borrowers' desired time lines for several weeks if the government shutdown were to persist.
David Becker: One of the big questions on their throughput, Tim, is going to be -- there's a lot of firing and shuffling of the decks going on with personnel in D.C. right now because of the closure. SBA is kind of short staff to begin with. We're praying to god that the people didn't get cut loose or the people come back after it reopens. But part of that will be dependent upon how -- what the staffing situation is when the SBA reopens. So -- but we -- as Nicole said, we've got a prime stood up, ready to go, and we hopefully will catch up before the end of the quarter. We did reduce. We were thinking we did a little over $10 million last quarter in our projection here for the fourth quarter that Ken has given you numbers on. We backed that down from a little over $10 million to $8 million in anticipation that we might not be able to get everything through. But the rest of it, as Nicole said, we're primed ready to go as soon as they reopen and hopefully have the staff to process.
Timothy Switzer: Yes. It's definitely a fluid situation, but it sounds like you guys were well prepared ahead of time.
Operator: Your next question comes from the line of Brett Rabatin from Hovde Group.
Brett Rabatin: Wanted just to go back to the franchise finance portfolio for a second. And obviously, that portfolio was originated by a third-party ApplePie. And so as we look at that portfolio, you're saying that delinquencies are down. But can you help us maybe get some confidence on just the remaining balances of $450 million of that portfolio?
David Becker: The ultimate on that one is Crowe is in doing an audit of that portfolio currently. And as yesterday afternoon at 5:00, they've gone through over 90% of those loans as an external audit. They had no downgrades on the loans and had 2 upgrades. So we not only internally feel better about it. And you hit the nail on the head, Brett. The issue wasn't the remote origination, but it was the remote collection effort. And back probably almost 6 months ago now, 5, 6 months ago, we jumped in and took control with the assistance of the folks at ApplePie to do the collection efforts. And we now the minute somebody goes past due or has an issue or if they got a problem or a question or concern, we talk to them. We're not relying on the third-party servicer. So we have been through literally every loan file. Crowe has now been through 90%. We'll finish it up this week, hopefully, early next week. But we're very proud of the fact that right now, they've had 0 downgrades and 2 upgrades on what they've looked at. So we're -- our confidence level is high on franchise.
Brett Rabatin: And then I don't know if you guys have it available, but criticized went from [ 108 to 128 ] last quarter. I don't know if you have that balance or you have to wait for the filings, but I was hoping you might have that figure.
David Becker: Well, you'll have to wait till the filings because we don't have the formal number calculated.
Brett Rabatin: Okay. And then just wanted to -- we started earnings season with Jamie talking about cockroaches, and we've seen a few what you would probably call idiosyncratic issues. How would you describe what you guys have experienced? Would you say it's all idiosyncratic? Would you say some of the stuff that you've had to deal with has been somewhat related to either a weakening consumer or anything in particular?
Nicole Lorch: We have referred to our small business loans, Brett, in the past as snowflakes because they are all individual unique and each one has a story behind it. But I do think if you step back and you look at franchise finance as well as small business, there are probably some underlying commonalities to the loan. And so where the Lumos portfolio analysis has been really helpful to us is in identifying any trends that we might not have such as specific geographies, and I don't mean states, but I mean down to ZIP codes as well as we know that there are some industries certainly that have been tougher. We have been fairly insulated from any consumer stress that is out there because the portfolio that we have of consumer loans is to a very high credit quality borrower. What we might see in the future, if there were continued stress in the economy, for instance, is there might just be a slowdown in the acquisition of new recreational vehicles or horse trailers if those are not must-have items, but nice-to-have items and people make a decision not to acquire a new one. So what we might see would be a slowdown in the origination of new loans. But we're seeing that the borrower -- the consumer borrower has stayed very strong for us and for our portfolio. With the small business, we are identifying, where we can any commonalities and remediating those for future credit standards.
David Becker: I think the issue -- I agree with Nicole 100% the consumer, I think, is weathering the storm fairly well currently until unemployment starts to rear its ugly head. But I think the small business side is starting to feel some of the effects. We've got a lot of economists around the state of Indiana, all the major universities, et cetera, that are starting to say, hey, it's going to get tougher before it gets better. We're just now starting to feel the impacts of tariffs on raw good and stuff. We're still a manufacturing state here in Indiana, and it's really starting to ripple through small manufacturers, independent players here in the state of Indiana that aren't able to absorb the cost. I have a son that's running a bicycle shop in Bloomington, Indiana, they proposed new tariffs on China go through a bicycle chain that 6 months ago cost $25 will now cost $100. And that's the thing. We don't know how much of this is going to be for real or not. But small independent retailers, small businesses are going to see some impact here over the next 2 to 3 months if things continue on the same path. So yet to be determined. And -- but I do agree with Jamie, if there's one cockroaches more as we well know in the SBA world. So we're on it as best we can be. And one of the things that Nicole pointed out that this Lumos technology and the AI product gets is it warns us of hotspots. So we can take a proactive position. And if we have a quick service restaurant in Southern Florida in certain ZIP codes in areas, they're saying this is a hotspot, take a look. We can talk to those owners before they hit a wall and run into problems. So the AI tech that we've implemented over the last 3 to 4 months has really given us huge insight to both the franchise portfolios as well as the SBA portfolio.
Brett Rabatin: And if I could just sneak in one last one. David, you said you'd buy back stock when you got down to these kind of levels and we're down here again. Are you guys going to buy back stock at these levels? And how do you think about that versus maybe growing the capital further?
David Becker: It's a mixed bag. It's a tough decision to make. But if we stay in the teens for any period of time here, we do have authorization ability over the next 2 years to buy back $25 million. Obviously, where our capital is today, we can't go spend $25 million tomorrow. But if it stays down here in the teens, we come out of blackout and all that good stuff for part of next week, we will definitely get into the market and buy some shares if it stays in the teens. And I think we have some directors, myself, in particular, that will also get into the market next week. So...
Operator: Your next question comes from the line of Nathan Race from Piper Sandler.
Nathan Race: I'm a little confused. I was going back to my notes from last quarter and I wrote down that you guys ceased originating franchise finance loans back in January, and you didn't have any deferments within franchise finance coming out of last quarter. So I guess, I'm just trying to understand what transpired with these handful of loans that moved to nonperforming and that you also charged off in the quarter. Was it just the collection efforts that you undertook that you just described earlier, David? Or would just appreciate any other color in terms of what transpired within the franchise portfolio over the last 90 days?
Kenneth Lovik: Well, these would be loans that we were either monitoring, where we were aware that the borrower was struggling or perhaps the borrower went delinquent. And maybe last quarter -- because keep in mind, delinquencies came down $11 million. So if you just think about the math, most of that $14 million that we charged off or excuse me, moved to nonperforming this quarter were delinquent last quarter, right? They maybe were 30 days or 40 days or something like that. And obviously, when they're in delinquencies, as David talked about, the level of communication we have and speaking to the borrowers, trying to work through a situation or work through resolution. And those were the loans, the delinquencies, where it was most prudent to move them to nonperforming and put a specific reserve on them. And -- but to kind of go back the other way on it, we are seeing some success in some of our resolution strategies with that. So for example, there was about $1 million of 2 loans totaling about $1 million that were nonperforming last quarter that so obviously have been moved to nonaccrual, had a reserve against them. But our commercial -- or our credit administration team worked out a resolution, where we were made whole $0.90 on the dollar on those deals, which were -- which was obviously much better than what we had reserved. So there are a lot of moving parts, but I guess the simplest piece is that these were just delinquencies that we moved to nonperforming and put reserves on.
Nathan Race: And Nicole, I know you mentioned that on the SBA side, these are snowflake situations in terms of where you're seeing charge-offs. But also just curious, are there any commonalities in terms of vintage or when these loans are originated, perhaps when rates were lower and now a lot of these small business borrowers are being rate shocked. Is there any line of thought into that scenario?
Nicole Lorch: Yes, that's a great question. Thanks for asking, Nate. We do vintage analysis, and so we are modeling future credit outlook based on the vintages. And I think David talked about some hotspots in the portfolio that we have identified. I would say, more than an increase in rates that the borrowers -- it's yes, an increase in their loan rate has impacted their monthly payment amount. But I think we've modeled on a $1 million loan, a 25 basis point reduction is about $300 a month to them. So it's not just solely the movement of interest rates and the impact on the borrower, but inflation more generally and it driving up the price of their raw materials or inventory that they need to buy, the cost of labor has gone up for them. And in some pockets of the country, consumers are starting to slow down on buying. So what we do see is an impact of inflation more so than impact of interest rate directly. And again, that's data that we're getting from our predictive analytics engine. So it's been really helpful to us in identifying what those industries are that might be more inflation sensitive, and it allows us to better refine our credit standards.
Nathan Race: And then, Ken, I think you mentioned you're comfortable with where kind of the projections are for NII for next year. I think it's around $150 million or so. Just curious, if we do get 4 or 5 rate cuts as reflecting the forward curve over the next 12 to 18 months, where do you see kind of the margin trending by the end of next year?
Kenneth Lovik: Well, in -- okay. So as I said, we kind of model a flat rate scenario, not to try not to be in the business of guessing, where rates are. So if we think about a full rate NIM for next year, we're probably talking somewhere kind of in the range of 2.70% to 2.80%. That's a full year, and that kind of ramps up over the course of the year. So it's not maybe quite as pronounced a stair step up as we would have had previously but it does increase quarterly over the course of the year. Now on a static balance sheet given -- with the sale of single-tenant lease financing loans, that moved us a lot closer to being neutral, but we are still slightly liability sensitive. So for every 25 basis point rate cut, we see an annualized increase of, call it, $1.4 million of net interest income.
Operator: Your next question comes from the line of George Sutton from Craig-Hallum.
George Sutton: Can you just walk us through the moving off of the excess deposits, the mechanics of that? I believe you have a relationship with IntraFi and you get a fee on actually moving those deposits? And then structurally, how do you think about future deposits coming in when you have the ability to pull some of these deposits back in a scenario, where loan growth is good?
Kenneth Lovik: Yes. The mechanics for pushing them off through the IntraFi network are pretty easy. When we set up several of our fintech relationships the depositor forms allow the deposits to be pushed into the IntraFi network either for reciprocal deposits or deposit insurance or to move off the balance sheet. And yes, we do make fee income, which is -- they pay us kind of a spread, call it, Fed funds minus. And we collect the difference between what the rate we're paying on the deposit and what we're getting paid through pushing it into the deposit network. So it kind of depends. I think where it's really been beneficial for us is the -- a lot of our, what I'll call, higher cost fintech deposits are kind of already approved to be into the IntraFi network. So it does a couple of things, right? It allows us to move kind of the higher cost, call it, Fed funds minus 20 basis points deposits off balance sheet. But we also see a lot of volatility and increasing volume in those. So it helps us to manage the size of the balance sheet. So if those deposits go up $200 million in a quarter and we don't need the $200 million, we can push that off the balance sheet. And then to your point earlier, we can bring those back onto the balance sheet very easily to help in the event that perhaps CD volumes are down or other deposit areas are down, we can bring those back onto the balance sheet very easily to fund loan growth or fund CD outflows. It just gives us a lot more flexibility to manage the balance sheet going forward.
David Becker: The other side of that equation, George, as you pointed out, we have plenty of excess cash at the current time. We're still growing and anticipate growing the loan portfolio by 10% next year. We sold STL, but Maris is back in the marketplace, pushing close to $100 million in originations in just this quarter. It gives us a little better pricing there. It also enables us -- if the Fed does do another pop here at the end, we'll probably do a 100% drop on rates kind of across the board on our side to match it. Historically, if we dropped 25%, we would drop rates 10 to 15 points. Because of the excess cash, we have a lot better flexibility. We're also in a position now, I think, on CDs, particularly in the commercial markets, only our long-term CDs in the 4, 5-year category, we appear in the top 25 in the country. Nobody is buying those right now. So it's not impacting us, but we haven't been on the charts in the CD realm for the last 2 months. Renewal on CDs, we have over [ $400 million ] rolling this quarter at a [ 434, 435 ] cost. If they were to renew, it's going to be in a [ 370 ] range or if they go away because we're down lower than they can get elsewhere, we're okay with that. It buys us a lot of flexibility we've not had in years. So you're right, having that excess cash is a nice play. Plus it's not costing us anything, As Ken said, we can get it off balance sheet. pick up a few points. It doesn't mess up our NIMs, doesn't mess up our ratio. So it's a nice position right now compared to where the world was post Silicon Valley 2.5 years ago.
George Sutton: So further on the flexibility perspective, that was a pretty meaningful strategic move to sell the single-tenant loans. And I'm just curious, if we think forward, say, 18 months from now, how different do you see the business being? Are there contemplations of moving in different directions? Or it obviously gives you flexibility. I'm curious what you're going to do with that flexibility.
David Becker: We have a couple of fintech opportunities we're looking at that could grow significantly on the lending side. We have some leasing opportunities that are yielding us 7.5%, 8% versus the 5% we had on the single tenant. And the new single tenant that Maris is bringing back on board, we're on a 5-year term versus what was traditionally a 10-year term at north of 6%, 6.5%. So -- and there's also forward flow opportunity there with Blackstone. So it gives us a lot of flexibility. We, on the fintech side, kind of shied away from some of the bigger lending opportunities because of lack of cash. We're now back in that market and talking to some folks. So I think you hit the nail head on. We're going to probably have a little different portfolio mix 18 months from now than we have today. But we got a couple of opportunities we're looking at that could be very beneficial to us.
Operator: Your next question comes from the line of John Rodis from Janney.
John Rodis: Ken, just a follow-up question on -- for 2026, the NII guidance, the [ $149 million to $150 million ], is that on an FTE basis?
Kenneth Lovik: No. well, that's GAAP. So add about $4.4 million to get to FTE.
Operator: There are no further questions at this time. I will now turn the call over to Mr. David Becker. Please continue.
David Becker: Thanks, John. Thanks, everybody, for joining us today. We obviously covered a lot of ground here. We have really, as we've discussed many times already, consistently delivered strong net interest income improvements over the last 12 to 18 months. Macro environment remains uncertain out here as to what's going on in the world, but our customer activity is stabilizing. Lending teams continue to do very well. Pipelines are solid. We are also excited about growth potential from the fintech partnerships, as I just discussed a minute ago, which will further diversify and strengthen our revenue base. So with improvements in the loan mix, anticipated reduction in deposit costs, if the Fed is to do something else, we're confident in our ability to deliver stronger earnings in the coming quarters. As fellow shareholders, we remain committed to enhancing the profitability and long-term value, and we thank you for your continued support, and have a great afternoon.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.